Operator: Ladies and gentlemen, welcome to the Burford Capital 2020 Earnings Call for Investors and Analysts. My name is Ruby, and I will be your moderator for today's call . I will now hand over to your host, Christopher Bogart, CEO, to begin. Christopher, please go ahead.
Christopher Bogart: Thank you very much, and hello, everybody. It's great to be able to present some earnings and talk to everybody about Burford again. As usual, I'm joined by Jon Molot, Burford's Chief Investment Officer; and Jim Kilman, Burford's Chief Financial Officer. And together, the three of us are going to turn the pages of the investor slide deck that's posted on our website, take you through some highlights of the year, give some commentary on what we think is going on in the business and then take your questions.
Jon Molot: Thanks, Chris, and thanks to all of you for joining, and I'm very pleased with our portfolio, as Christian did, which continues to grow. It's notable that we've generated growth at above 50% compound annual growth rate over the past five years, which positions the business for future cash flow generation as the portfolio continues to turnover, and there'll be a little more about that in some later slides. But if we start at Slide 9, if you turn to Slide 9, you'll see that the portfolio at the end of 2020 was larger and more valuable than the portfolio a year earlier despite three things that you might have expected to hinder that growth. The first was that, as Chris just mentioned, COVID slowed deployment in the first half of the year. That picked up in the second half of the year. But nonetheless, we finished the year having put out less money than we would have liked, yet the portfolio nonetheless is larger today than it was a year ago. The second is we've had some very large profitable realizations in the core portfolio, which Chris alluded to and I'll talk a little bit about further. But despite those large realizations, that didn't shrink the portfolio because although the profits on those realizations were large, the carrying cost of the investments that resolved were a much smaller number, and the new investments we put on will more than exceeded the carrying costs of the old ones that resolved. Third, we had realizations in the capital provision indirect portfolio. Those are the shorter duration, lower risk matters with somewhat lower returns that we did not replace because we didn't think market conditions warranted their replacement. So that means we made up for the decline in the capital provision indirect assets with additional value in the higher-returning core capital provision direct portfolio. And a combination of putting out capital even if not at the growth rate we would have liked and seeing progress in the portfolio that led to modest fair value adjustments. Remember, we've got a policy that only makes fair value adjustments for concrete case events, and historically has met modest write-ups until matters actually conclude. But those two things, putting more money out and having the litigation matters in the portfolio progress means we're sitting on a more valuable asset base today than a year ago.
Jim Kilman: Thanks, Jon. I'll start by touching on a few highlights from our brokered-only income statement on Slide 13. Group-wide, we set a record for total income more than $500 million. However, because a portion of that income is in our funds, our performance fees will only appear later in the fund's life. Our balance sheet income was essentially flat in 2020 compared to 2019, but there were some positive trends underneath that headline number. First, a higher proportion of total income was cash gains this year. Realized gains made up 51% of our total income in 2020 versus 36% in 2019. And while last year our YPF-related assets contributed significantly to income, our 2020 results were driven by the rest of our portfolio. Excluding gains from YPF-related assets, Burford-only total income in 2020 was over twice 2019's level. Our general operating expenses were up 11% in 2020 year-over-year. Although we kept our headcount relatively constant in 2020, our employee growth in 2019 meant that our average headcount during 2020 was 11% higher than the year prior. In addition, we had $8 million of one-time listing and equity-related expenses as we completed our listing on the New York Stock Exchange. As a result, our operating profit was down given flat total income. And our profit after tax was down even more because a lot of the realized gains during 2020 occurred in higher tax rate jurisdictions. Nonetheless, because of our tax planning, our level of cash taxes was only $11 million, less than 1/3 of our book tax expense. Finally, to touch briefly on second half results, similar to 2019, we had a slow second half of 2020 for realizations after a strong first half. As we frequently said, realizations in our business can be lumpy. So slow periods are not unusual, but we did see continued case progress in our portfolio during the half. To drill a bit deeper on our fair value or unrealized gains during 2020, we can turn to Slide 14. As you may recall, our YPF-related assets account for the bulk of the unrealized gains on our balance sheet, some 80% at year-end 2020. We did not change our carrying value for the YPF-related assets during the year, so we continue to hold them on our books at the value implied by the last significant sale of that asset. We are in an active pre-trial process in the case underlying these assets, so we can't comment any further on them at this point, but would note that the trial is currently scheduled for January 2022. While further delay is always possible, this is not a jury trial and the courts have continued to operate efficiently with respect to non-jury matters. Away from the YPF-related assets, continued positive case progress in the Burford-only capital provision direct portfolio during the year led to $141 million of unrealized gains on 41 different assets. This is not surprising since as the portfolio matures and more cases draw to conclusion, they are more likely to hit the case milestones that would cause us to make fair value adjustments. As the bar chart on the right shows, our experience on our concluded cases continues to be that most unrealized gains occur later in the life of an asset and represent only a modest portion of the ultimately realized gain. Even with the steady and widely distributed unrealized gains during 2020, our capital provision direct portfolio, excluding YPF, still has only a small portion, 17% at year-end 2020 of its carrying value in the form of unrealized gains. As a reminder, as we lay out on Slide 15, our fair value policy relies upon objective case milestones to trigger unrealized gains or losses based on a relatively conservative formula. If we win a pretrial motion, we mark up by a small percentage of our expected profit. If we win a trial, we mark up by a bit more and so on. The percentages and the policy are set -- so as to leave plenty of headroom between our carrying value and ultimate expected realized profit, which has proven out in our results as the chart on the prior slide showed. Currently, of our consolidated capital provision portfolio, about 1/3 is held based on market prices. This is mostly the YPF-related assets. 1/3 is held at cost because there haven't been case events to trigger a mark yet. And about 1/3 is carried at values based on case milestones. It's interesting to note from the chart on the right that the percentage of our portfolio valued based on case milestones has increased from 10% in 2018 to 34% in 2020, as an indicator of the positive progress occurring in the litigation underlying our portfolio. Turning next to our funding configuration on Slide 16. You can see that about 2/3 of our group-wide portfolio is now funded on the balance sheet. About 25% in limited partnership funds that we manage and just under 10% in our sovereign wealth fund arrangement. We've certainly evolved our funding strategy from four years ago when everything was done on the balance sheet. And we've diversified our funding even since two years ago with a sovereign wealth fund arrangement becoming a more meaningful part of the mix. We would expect to see the sovereign wealth funds share of the funding pie continue to increase this year, since late in 2020, we filled up our current core litigation fund, Burford Opportunity fund, which have been taking 25% of our new originations. With that fund full, the sovereign wealth fund arrangement is now taking 50% of our eligible core litigation finance originations, with 50% going on to the balance sheet. One of the benefits from our more diversified funding configuration over the past several years has been a stream of asset management income, which totaled $24 million last year, as you can see on Slide 17. Just under half of that was from management fees, which were down last year because some of our earlier funds are now past the point where they pay management fees, and we've not raised a new fund since 2019. Importantly, though, we saw performance-related fees account for over half of our asset management income in 2020. As you'll recall, most of our funds have a European performance fee structure, meaning that we get our 20% performance fee towards the end of the fund's life. That actually happened in 2020, where we received a further $6 million performance fee as our first core litigation fund accounting for only 2% of our AUM successfully concluded its life. Our next two core litigation finance funds, partners two and three at this stage would deliver us another $50 million in performance fees were their current performance to continue through the remainder of their lives. Our other funds, including our core -- current core litigation fund, Burford Opportunity fund, or too earlier in their lives to estimate future performance fees. However, one indicator of the future store of performance fees is to look at the amount of gains occurring in the funds alone in 2020, which are the black and gray portions of the bars on the upper right-hand corner of Slide 17. We had $187 million of gains in the funds themselves in 2020, 95%, which was realized gains. These gains are building up a store of future performance fees that ultimately will come back to Burford as the funds mature. Turning next to our funding configuration -- one of the key take away from this slide is to note that Box C, our sovereign wealth fund arrangement contributed a meaningful slice of our asset management income despite the young age and smaller size of that vehicle, which is only about 25% deployed at this point. Box C is structured to be more profitable to us than the regular limited partnerships and also to pay us our share of the profits as they occur rather than waiting until the end as with the other funds. Therefore, as Box C grows and begins to receive significant realizations, its key contribution could increase. Before turning to our balance sheet, I did want to touch briefly on receivables collection on Slide 18. Chris talked earlier about the sizable realizations we had during 2020. As you know, a significant portion of those occurred late in the first half and did not pay immediately in cash so that we had $281 million of receivables at June 30. We collected almost all of those receivables during the second half, leaving us with only $31 million of receivables at year-end 2020. This meant that 98% of our realizations during 2020 were collected as cash and continues our historical pattern where almost 90% of capital provision realizations turn into cash in the same year they are realized, and much of the rest shortly thereafter. All of that cash coming in during 2020 allowed us to increase our liquidity position by $130 million during 2020 despite not having raised any external capital since 2018. As you can see on Slide 19, we finished the year with $336 million of cash and cash management assets more than any period prior year-end. Our liability structure also remains conservative. Our debt is laddered, with our next maturity 18 months away and long-dated with a weighted average life of our debt almost twice that of our assets. And our leverage remains low with net debt to tangible assets at year-end 2020 of 13%, well below our covenant level. With that, I'll turn it back to Chris.
Christopher Bogart: Thanks, Jon. So on Slide 20, I return to COVID briefly. We've already talked about the impact of COVID on new business. Really, the other thing I'd comment on in terms of the existing business on COVID is with respect to jury trials. In general, courts and arbitration institution did a pretty good job in migrating to a virtual world and in dealing with the impact of the pandemic. And as you could see from our financial performance in 2020, we saw lots of case success and lots of case resolution, notwithstanding the ravages of COVID-19. The -- and indeed, we think some of those changes are going to be permanent and are going to increase the efficiency of the judicial system so that you don't have things like lawyers flying around the country or around the world to attend short -- scheduling conferences and so on and doing more of those live video. The one place, though, that has been pretty routinely hampered is with respect to jury trials. Most courts are really not doing in-person jury trials right now. They haven't been for much of the year. Now many of our cases don't require them or settle before them. But nevertheless, some of our cases do need jury trials and the knowledge of an impending jury trial can also drive settlement a little bit. So the reality is there's a little bit of a backlog there that will take some time to work through. This isn't necessarily a bad thing from our long-term perspective. Many of our assets come with time-based returns. So that delay is the risk for the client as opposed to the risk for Burford. And it may well be that we'll make more profit on cases that are delayed, but it is a timing and duration issue, nevertheless. Beyond that, while COVID has obviously been a global calamity on so many personal and economic levels, the reality of the situation is that lawyers get called into circumstances where there has been disruption and dispute. And the simple fact of the matter is that COVID is going to produce or has already produced a lot of dispute and is going to continue to do that for years to come. Just looking at the U.S., we've already seen, according to a law firm that tracks new COVID filings, we've already seen 9,500 -- more than 9,500 COVID filings, COVID-related litigation filed in the United States. So just to put that in perspective for you, in the entirety of the U.K. commercial court, there are only about 800 cases filed a year. So you've got a very significant volume, but litigation already showing its head, and that is probably just the tip of the iceberg. Lots of that litigation won't be addressable to Burford. It will be too small or it will be too cookie cutter. But between pandemic-related litigation directly and between the likely financial distress and insolvency that we will see in some sectors once government stimulus comes to an end. This reminds us of the period of opportunity for Burford that existed after the global financial crisis, as we spent some number of years litigating some cases in that area. This isn't necessarily a business transformative, but it's business additive, and it's something that we expect to see going forward for a number of years. So that takes us to Slide 21. Just to sum up. We couldn't be happier with our performance in 2020. As I said at the outset, it was the best year in our history for portfolio performance. And not only did we demonstrate again the proof-of-concept and the substantial track record that we've been able to develop. But I think you've seen through all three of our presentations today, just the potential of the future for Burford. We have the industry's largest and a very well diversified portfolio, a multibillion-dollar portfolio of litigation assets. We've got a long track record of being able to generate strong returns from our portfolio. We have an excellent liquidity position. We're the clear market leader with a number of moats around our position. And the strongest balance sheet position we've ever been in with a lot of incremental capacity from private funds and the ability to access incremental leverage. So we're very excited about where Burford sits, and we're excited to be able to present 2020 results to you. Before we go on and take your questions, I also just want to comment on the announcement this morning of our launch of a $350 million debt offering in the U.S. institutional investor, the so-called 144A market. We've said for a long time that we're an opportunistic debt issuer and that we would look to take advantage of attractive terms when they were available. If we conclude this offering, it will be our first debt issuance in three years or so. And we have very strong liquidity without it. Our philosophy has always been consistent with the old adage, the time to raise capital is when you don't need it. And we don't need this capital today, but we're being opportunistic in pursuing an attractive market condition. Our current debt is trading at levels that are consistent with where we previously issued. And that's reflecting, I think, as well, the strong performance and strong liquidity that we have on the balance sheet. The -- if we succeed in this offering and we will be price-sensitive with respect to it, but assuming that we get an offering done, that will give us yet more capital to deploy into the opportunities that we see coming ahead as well as to consider the retirement or the repurchase of some of our existing debt. And the other thing that it does, Jim showed you a slide a few minutes ago that showed our -- the laddering of our existing bond debt, and this would fit nicely into that ladder. The maturity of this issue would be a seven-year issue and that maturity would be passed well beyond the longest current debt maturity that we have. This also reflects a shift consistent with our shift to the New York Stock Exchange, dual listing last year. The U.S. institutional debt market is the deepest in the world. And so putting an inaugural issue into that market, becoming an issuer there is something that has been a long-term goal of ours. We started by getting debt ratings in 2019. And our hope would be with this inaugural issue out of the way that we'll have access to -- ready access to that market and to be able to drive down our funding costs over time. So we'll report to you in due course about how that offering goes. And with that, we'd be delighted to take any questions that anyone has.
Operator:  Our first question is from Steve Samson. How much of the H2 '20 portfolio value growth was a catch-up of delayed H1 '20? And how much was a higher level of ongoing activity that we should expect to see as the new base level for H1 '22?
Christopher Bogart: So I don't know the, and maybe Jon can comment on that. I don't know if I could characterize it as H1 delayed activity. The litigation process doesn't really work that way. Things go through the process at their own merry pace and defendants decide whether to settle or not at their own merry pace as well, often incentivized to do that by an impending trial date. So we didn't have the jury trial pressure, so there wasn't that kind of delay. Otherwise cases were running pretty normally. And I think what we saw was just routine normal variability and timing of the time that we've seen throughout our existence.
Jon Molot: And I guess I'd add to that, there's sort of d2 components to the -- that one might consider. One is the activity of putting money out and the other is the activity of getting money back in. And as Chris said, there have been jury trials postponed, which meant that -- meant not only that the verdicts and judgments are postponed in those cases, but settlements, which usually happen on the eve of trial would be postponed. But the other piece of this is we -- obviously, our pace of deployment increased dramatically from H1 to H2. And in terms of whether we think that would continue, my feeling is just the pipeline is robust. It's a moment, as Chris said, people tend -- litigation ends up being more prominent in business people's thinking when things go badly, when things go in an unexpected way and when there's dislocation. And so there's no doubt that some of the opportunities coming our way arise from that. But there's also -- we've seen during good times that as Burford's brand has expanded and awareness of litigation finance has expanded, the market opportunity just continues to expand. So our pipelines continue to be robust. We're seeing all sorts of litigation, some of which arises from recent economic dislocation, some of which does potentially arise from disputes that may have been brewing in the first half, but the lawyers hadn't gotten around to lining up the case, lining up the financing and coming to us. So I think it's kind of a combination of those things, and I'm pretty bullish, not just about our portfolio, which I spent most of our discussion spending time on, but also on the pipeline.
Operator: Our next question is from James Hamilton of Numis Securities. Your line is open. Please go ahead.
James Hamilton: On Slide 15, you helpfully sort of break out the carrying values by sort of type. And obviously, you've got six milestone market transactions and held at costs. If we were just to ignore the market transactions, that's just the YPF one and look at the rest of the portfolio, it looks like you've gone from 19% of having had positive movements due to case milestones in 2018 and up to 52% in  that's obviously quite a big move, as you'd expect as the money, I guess, invested in the cases progress. What I'm sort of interested to try to find out from you is, you right in assuming that, obviously, the -- not just the most of the value up comes at conclusion, but given the shape of that, in aggregate, your portfolio, is today much, much closer to that valuation update conclusion than it was in 2018? And if so, could you possibly put any sort of time quantification on it. I appreciate that every case is a different time line, it can be very short, very long, but just taking a blended average?
Christopher Bogart: Sure. So I'm not sure that it's so much that it's -- that the portfolio -- let me start that again. The portfolio is not a static thing, obviously. And so I don't think it's the case just that the things that were in existence prior to 2018 have advanced, although they surely have. I think it's also the fact that we've added yet more things to the portfolio over time. All that being said, I agree with the general thrust of your question, which is that having written a lot of business in the last five years, that business is flowing through the system and producing recoveries, we saw the impact of that in 2020. And if history repeats itself, and we -- Jim and laid out on the preceding slide on Slide 14, the general way in which fair value moves through the process and tends to appear close to a conclusion, that's obviously a logical inference to draw from the data as presented. We'll see if that holds true on a completely straight-lined basis or to what extent COVID interferes with that a little bit. But in general, that certainly bears out what Jon was saying, just about his qualitative sense of where the portfolio sits today.
Jon Molot: And I might add to that. I think it's a great question. It's sort of -- I said, given -- if you look at this moment compared to a year ago, I was equally bullish on the -- on this call a year ago with the portfolio, although, as Chris said, we've added some great things to the portfolio since then. And we've seen progress in the portfolio since then. I've said basically now that you're seeing results from some of the things I was bullish about, but there hadn't been anything to show for it. I hope you would share my enthusiasm. I guess you're asking the further question of what's the time frame for both the matters we've added that Chris is talking about, but probably you're asking more specifically for the matters that were in existence a year ago and have made progress over this year as reflected in fair value adjustments? When do we actually expect those to resolve? And just as for public shareholder purposes, we're just not prepared to make those kinds of predictions. I think other than that qualitative assessment that Chris has echoed from me that things are progressing quite nicely, I can't -- I don't think we want to put a date on how much we'll realize it on what dates.
Operator: Our next question is from Portia Patel of Canaccord. Your line is now open. Please go ahead.
Portia Patel: I just wondered if you could provide an update on the potential 200% matter, potentially delivering 100 million of income, which was flagged as early stage in the April trading update last year. Just an update on current status would be helpful. Is it still early stage? Or has it progressed at all?
Christopher Bogart: I don't know that we have a specific update to give on that matter as I sit here, Portia.
Operator:  Our next question is from Trevor Griffiths of a private investor. Your line is now open. Please go ahead.
Unidentified Analyst: If you'll indulge me, I've got three questions. The first is a bit touchy feely. I just wonder how you would characterize and how the business feels at the moment in terms of being relatively quiet and busy? And how it compares to, say, the middle of last year? People got a bit bored during quiet spells, has staff turnover increased at all. Obviously, it's a bit more difficult to supervise people working remotely. That was that one. The second one is on regulatory movements. I just wonder if you could outline any relatively significant changes either beneficial or obstructive to litigation finance in the markets you serve or are looking to serve? And then the third one is, I think, one for Jim. Waiting for performance fees at Burford, sometimes feels a bit light-weighting for But I think the topic is important given the debate around your shares over the past couple of years. Aren't you being excessively prudent in your recognition or non-recognition of performance fees? I appreciate you've given us some disclosure in the slide pack today. But there must be some of these fees that are pretty reasonably certain by now. And I wonder if you might even go as far as to recognize a receivable for performance fees earned but not yet received. And just have a matching credit balance of deferred income. And then finally, sorry, it's not really a question. But I don't know even if you know if he's on, but could I congratulate Peter Middleton on his upcoming retirement from the Board and thanking very much for his enthusiastic and successful stewardship of the Company since foundation?
Christopher Bogart: Well, thanks very much, Trevor, for all of those, and especially for your last point. I couldn't agree more and the entire management team shares that view. Sure Peter has been an extraordinary part of Burford's history. And has provided remarkably deft and adept guidance to the Company as it's grown from literally nothing to its current posture. So as I said, we'll speak more about to Peter in the months to come, and it's going to be sad to lose him, but he's made an enormous contribution to the business and to take your questions in order. I think the business feels busy and also expect them, if you will. You asked compared to a year ago. A year ago, I think it felt uncertain. Nobody knew what was going on in the world. And I think right now, there is a first, not just in our business but in the legal industry in general, there's a thirst to get back to it. Lawyers are -- lawyers interact with other people a lot by the nature of the profession, and it's been a strange year to have that interaction dramatically curtailed. For example, we have a regular and active presence at legal industry affairs around the world. It's one of the elements of our business development and origination platform, and there simply have been none of those. And a lecture on Zoom doesn't replace some of the dynamics of those. So I think that -- so while as the numbers suggest, everybody in law did a pretty good job after the first few months of pandemic and just getting right back at it. I think people are eager to have their full life come back. As, of course, people are across the spectrum. In terms of regulatory activity, no, there's not really any regulatory activity since we last spoke about those issues. The dynamic, I think it's fair to say is that there is no serious consideration anywhere of litigation finance being anything other than now an accepted and appropriate part of the justice system. And so there's no activity out there to try to tamp it down in any particularly dramatic way. Instead, we're probably moving into a jurisdiction by jurisdiction in the world where jurisdictions express their own political preferences. Not surprisingly, Singapore, for example, is somewhat more regulatory about litigation finance than New York is. But our public policy team stays on top of the developments, and we find, frankly, that the public policy engagement is generally an opportunity to educate people about the benefits of what we do, which consistently is recognized by the judiciary. We've got a fairly long list now of quotes from judges and judicial policymakers about the importance of legal and litigation finance. And the most recent one of those just came from the English Court of Appeals two or three weeks ago, where the court made it clear that litigation financing was an appropriate and valued part of the civil justice process. And I'll let Jim come and take your third question. We were waiting for a good question.
Jon Molot: Yes, Trevor. No, it's a fair point that you make, which is, I think we can sit here and estimate and do a projection and come up with a view as to what the performance fees might be as we did relate it to partners two and three. But the accounting standard is that performance fees are recognized when a reliable estimate of the fee can be made and it is highly probable that a significant revenue reversal will not occur. So that's a pretty tough test. You really have to be at a point where the revenues are there and won't go away. And therefore, our revenue recognition as it relates to performance fees is pretty conservative, but it's in keeping with that accounting standard.
Operator: Our next question is from Rick Roberts of Vulcan Capital. Your line is now open. Please go ahead.
Rick Roberts: Congratulations to the team for some great momentum through a difficult environment in 2020. Really straightforward, I'm just curious whether you're seeing any sort of trends develop in -- at the highest level, sector or industry level, where you think conflict will arise. The kind of conflict that that Burford really cares about in sophisticated matters?
Christopher Bogart: Well, I think the answer is the conflict arises pretty much continuously, and it's really a question of what the underlying source of the conflict is and how we can best address it. As Jon and I both commented, the events of 2020 are going to give rise to a very significant amount of conflict in really multiple buckets, right? There's a lot of conflict between insurance companies and their insureds over the scope and extent of coronavirus pandemic policy coverage. And even that breaks down into many different layers. You've seen some business interruption style, litigation activity are ready, but there's also going to be just a lot of garden variety, who pays for the loss that occurred. You're a banana manufacturer and you shipped a shipload of bananas to a buyer and the port was closed by the time it got there because of COVID. Who bears the loss? The shipper, the buyer, the insurance company for the ship? Those are the kinds of questions that are going to take a long time to sort out. And then on top of that, there's sort of a similar, if not larger number of noninsured pandemic-related disputes of all sorts of sizes, large and small. You're building a multibillion-dollar construction project. You didn't make your completion dates because the country you're building it in wouldn't let the workers come in. Do you -- are you out of luck? Or is that a force majeure such that you still can claim the completion payment. All of those issues are up for discussion. And then as Jon noted, the collateral impact of 2020 is certain to be a wave of economic distress across a number of businesses, and Burford does a lot of business in those kinds of situations. But beyond that and leaving the pandemic entirely aside, the simple reality of human behavior is that companies when put under pressure from shareholders to perform often do things that they shouldn't do. They cut corners, they fix prices with competitors. They do all sets and things like that. And as those things become discovered, they present places for Burford to become involved on behalf of its clients.
Rick Roberts: Understood. And very helpful. And so just as a follow-up to that, does that and then any -- Jon, you can take this, too. Is there a different layer or a different type of case law that will develop out of all of this, do you think? Or is it pretty much in the wheelhouse of all of your existing legal relationships?
Jon Molot: I think it's -- again, it will be nuanced as opposed to revolutionary. There will be -- there will certainly be more force majeure law made 10 years from now, when we look back, the first majeure law will be richer than it is today. But even though while living in this moment, this is an extraordinary event for all of us, English common laws stretches back hundreds of years. And these events in different forms have certainly been encountered before. And so it's nuanced and it's fact specific as opposed to something seismic that you're going to see, I think.
Christopher Bogart: So, there was a question that came on the webcast about accounting. And somebody noted that the financial statements have been signed by Ernst & Young Guernsey as opposed to Ernst & Young London last year and asked about why and how that happened? So the quick answer to that is that Ernst & Young operates an integrated audit practice between England and the Channel Islands. And so the people and the partners are all interchangeable there. And so the question of where the particular signing location depends on the physical location, as I understand, that of the current audit partner, and we have regularly rotates auto partners. And so, we have rotated to our -- at least our third E&Y auto partner now. And he happens to be based on Channel Islands, but the team that works on Burford's activities and Burford's audit is, in fact, multi-jurisdictional, it's not just people from London and Channel Islands. But it's also a meaningful component of their U.S. team, especially now that Burford is not only just an IFRS issuer, but also is being audited under what's called the PCAOB standards, which is the U.S. Accounting Standards Board with the rules of which we need to comply to comply with as a New York Stock exchange issuer. So there's -- the location of the signature of the audit firm is of no moment, we have a huge and very expensive, I might add, team of any people who are all over the business from all over the world. And I'm conscious that we've taken well over an hour of your time. And so absent any other pressing question, I think that we will close here. Well, thank you very much for your time and attention, for your support of Burford. Jon and Jim and I and the whole team are excited to see what a return to normal looks like in 2021 and what we might be able to do with this business in the years to come. And we appreciate your support and loyalty and joining us for this always interesting ride. Thank you all very much.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.